Operator: Good day and thank you for standing by. Welcome to the Commvault Q2 Fiscal Year 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over Mike Melnyk, Head of Investor Relations. Please go ahead.
Michael Melnyk: Thanks, Andrea. Good morning, and welcome to our earnings conference call. I'm Mike Melnyk, Head of Investor Relations, and I'm joined by Sanjay Mirchandani, Commvault's CEO; and Gary Merrill, Commvault's CFO. An infographic with key financial and operating metrics is posted on the Investor Relations Web site for your reference.  Statements made on today's call will include forward-looking statements about Commvault's future expectations, plans and prospects. All such forward-looking statements are subject to risks, uncertainties and assumptions. Please refer to the cautionary language in today's earnings release and Commvault's most recent periodic reports filed with the SEC for a discussion of the risks and uncertainties that could cause the actual results to be materially different from those contemplated in these forward-looking statements. Commvault does not assume any obligation to update these statements. During this call, Commvault's financial results are presented on a non-GAAP basis. A reconciliation between the non-GAAP and GAAP measures can be found on our Web site. Thanks again for joining. Now I'll turn the call over to Sanjay for his remarks. Sanjay?
Sanjay Mirchandani: Thanks, Michael. Good morning. I'm pleased to share that we delivered record fiscal Q2 results, which I'll discuss in constant currency. Software and products revenue increased 16%. Growth was driven by strength in the Americas and our continued success in winning large transactions. Our best in class technology continues to resonate in the enterprise where data protection and ransomware remain top of mind. ARR growth continues to be strong increasing 18% year-over-year. Combined, subscription and SaaS ARR grew over 40% year-over-year and now represents a healthy 66% of our total ARR. Metallic continues to fuel this growth. I'll share more shortly. These results are proof that our strategy is working in three ways. First, over the past three years, we've been focused on transforming the business and have returned the company to responsible growth. Our focus on driving ARR now over 600 million gives us predictable model for future growth. Second, our unified software and SaaS portfolio is a differentiator and a competitive advantage because customers want and need both. This is helping us land marquee customers. I'll share some examples in a minute. In addition to transitioning to a subscription software model, we organically funded and delivered a hyper growth and world class SaaS platform. As a reminder, Metallic launched commercially in October of 2020. We see this as a marker against which to measure its success because in two years, we have achieved phenomenal growth.  Metallic is a logo acquisition machine that is complementary to our software business. We ended the quarter with over 2,500 Metallic customers. In Q2, 70% of Metallic customer additions were new to Commvault. Half of those have another Commvault product and one-third have multiple Metallic offerings, reinforcing that in today's world customers need both software and SaaS. Microsoft M365 and Metallic recovery reserve as part of our ransomware offering continue to drive adoption and our other offerings are gaining traction. Our Metallic SaaS offerings surpass 75 million in ARR in less than approximately two years. This makes Metallic one of the fastest growing SaaS offerings in this industry. It's very clear that we're outpacing benchmarks and reinforces that Metallic will be a big part of our future.  The third proof point that our strategy is working is our go-to-market execution. Through our investments in talent and operational excellence, combined with our partner ecosystem and a lot of smart work, we have reinvigorated growth, materially improved our efficiency and reinforced our leadership position as the number one ranked vendor in data center, cloud and edge environments, but we're not done.  In fact, I'm even more excited and confident of the opportunity in front of us because we offer elegant solutions to our customers' hard data problems in an increasingly difficult world. After all, our customers are relying on data to modernize and grow their businesses. Data is fluid, moving from on-prem to the edge to the cloud and back again, and it is remote, fragmented and exposed to new threats every day.  As a trusted and proven provider, we offer customers a future proof data protection strategy to ensure that data is always available. This begins before the data is compromised. After all, an organization's ability to recover from a ransomware attack or other threat is only as good as the quality of the backup, which is why we launched Metallic ThreatWise, built on the TrapX technology that we acquired in February.  ThreatWise is a SaaS delivered, intelligent early warning system that proactively surfaces unknown and zero day threats to help ensure your backup copy is uncompromised. We believe that data security is nonnegotiable, which is why it is implicit in our offerings. Commvault is the only data protection provider with these proactive and responsive protection, security and recovery capabilities today, and customers see the value. For example, Woodwork Kings [ph], a multinational Fortune 1000 company turned to Commvault software and Metallic to consolidate multiple data protection products to better protect its data and increase efficiencies. Commvault now handles all of the company's data in all locations while meeting its recovery point and recovery time objectives.  Another great example of how customers are leveraging both software and SaaS for their data protection needs was our recent win with a Fortune 500 manufacturer. This company decided to choose its global -- sorry to close its global data centers and fully adopt a multi-cloud strategy. While multiple vendors, including the incumbent value for the business, only Commvault could deliver an elegant solution to migrate workloads to the cloud and support a zero loss strategy all on one platform. Both examples demonstrate how providing comprehensive enterprise grade software and SaaS data protection across all workloads and environments is a distinct competitive advantage.  Now, I'll turn it over to Gary for a discussion of our financial results. Gary?
Gary Merrill: Thanks, Sanjay, and good morning, everyone. I will start with a quick recap of the quarter with growth rates on a year-over-year basis, unless otherwise stated. Total revenues for the quarter increased 6% to $188 million. On a constant currency basis, total revenue growth was 12%.  Our growth in the quarter was driven by strong execution, even though currency in the macro continued to be headwinds. Continued strengthening of the U.S. dollar since our first quarter call adversely impacted Q2 revenue by approximately $3 million. Software and products revenue for the quarter was $82 million increasing 10% year-over-year and 16% on a constant currency basis.  From a geographical perspective, both of our Americas and international regions delivered strong year-over-year constant currency growth. Specifically, our Americas region increased 20%, which was driven by large new customer transactions. Data protection and related security concerns are key spending priorities for organizations, and our ability to support large enterprise workloads across a mix of environments is a key driver for our growth.  On a constant currency basis, our international region drove 9% year-over-year growth in software and products revenue. The increase was also driven by strength in larger enterprise transactions. On a consolidated basis, revenue from software transactions over $100,000 increased 18% year-over-year and represented 72% of software revenue.  We were pleased to see both a 6% increase in the volume of such transactions combined with an 11% increase in average deal size reaching $346,000. Our technology continues to resonate with enterprise customers looking to modernize their data protection approach to enable a hybrid cloud strategy.  Subscription software revenue increased 32% year-over-year to $63 million and represented 76% of total software revenue, which compares to only 63% of total software revenue in Q2 of the prior year. Our progress to a subscription-led software business has given more predictability, and resilience to our business model.  Moving from reported revenue results, I will now give some insight to our annualized recurring revenue, or ARR metrics. Our total ARR increased 11% to $604 million as reported and accelerated to 18% year-over-year growth in constant currency. ARR growth is being driven by Metallic and subscription software.  The combination of only subscription and Metallic ARR is now $400 million, with growth of 44% and representing two thirds of our total ARR. As Sanjay mentioned, Metallic recently crossed $75 million in ARR, which is about 50% higher since the start of the fiscal year.  Now, I will discuss expenses and profitability. Gross margins for the second quarter were 83.5%, which is consistent with the prior quarter despite the foreign exchange pressure. Total operating expenses were $119 million, flat versus the prior year and down 3% sequentially. We are managing our people, facilities and third party expenses by focusing investments on our most critical priorities.  Non-GAAP EBIT was 35 million, resulting in an EBIT margin of 19%. Free cash flows to the quarter were $49 million. In Q2, we repurchased 703,000 shares of our common stock for $40 million. Through the first half of the year, we repurchased 1 million shares of common stock, returning $59 million to our shareholders. The first half repurchases represented 83% of our first half free cash flows.  We ended the quarter with no debt and $262 million in cash on the balance sheet, of which 60% is located outside of the United States. Our foreign cash balances support the operating needs of the business spread across over 35 countries.  I would now like to give a brief update on the progress against our Investor Day objectives from January 2021. As a reminder, those objectives included compounded annual total revenue growth in the range of 6% to 7% and the combination of total revenue growth and EBITDA margin of 32 by the end of fiscal 2023, which is our current fiscal year.  When measured on a constant currency basis, I am pleased to report that we've achieved these objectives six months ahead of the expected timeline. Over the last four quarters, on a constant currency basis, total revenues increased 11%. And we delivered an EBITDA margin of 22.6%, resulting in a rule of calculation of 34, which is two points ahead of our original target of 32. Continued progress against the rule of 40 over the long term will remain a key objective.  Now, I will discuss our financial outlook for the fiscal third quarter. With the stronger U.S. dollar since our July call, we expect an additional $4 million of headwind on total revenues. As a result, we now expect fiscal Q3 total revenues to be in the range of $202 million to $205 million. At the midpoint of guidance, this represents 7% constant currency total revenue growth.  Considering current foreign exchange rates, we expect Q3 software revenue to be in the range of $97 million to $100 million. On a constant currency basis, the midpoint of our software revenue guidance would be up 7% year-over-year. As I mentioned earlier, we are winning net new business, including competitive displacements. We continue to closely monitor customer spending patterns, changes in budget priorities, and other potential risks to our business due to the ongoing macroeconomic uncertainty.  As a result, we are aware this new business may take longer to close, especially parts of larger IT transformation projects. In light of global uncertainty, we continue to be maniacally focused on managing expenses, balancing profitability, while investing in growth initiatives such as Metallic. At these revenue levels, we expect Q3 consolidated gross margins to be up slightly on a sequential basis to approximately 84%. Q3 operating expenses are expected to be approximately $125 million, down 2% year-over-year. At the midpoint of our revenue guidance, Q3 EBIT margins will be approximately 21.5%. Our projected share count for Q3 is approximately 45.5 million shares. One item I would like to point out is that second half free cash flow will include approximately $7 million of incremental federal tax payments related to the capitalization of research and development provisions enacted as part of 2017 tax reform.  Our team is focused on execution. We will maintain our responsible growth operating philosophy, and expect to continue to return at least 75% of free cash flow to our shareholders through repurchases, all while continuing to accelerate our Metallic business.  I will now turn the call back to Sanjay for his closing remarks. Sanjay?
Sanjay Mirchandani: Thanks, Gary. Before we turn to questions, I want to invite you to join us at our upcoming Connections event. Over the next few days, we'll be virtually hosting thousands of customers, prospects and partners as we highlight our portfolio, including many new offerings and announcements. I hope you tune in.  Now, let's open it up for questions.
Operator: Thank you. At this time, we will conduct a question-and-answer session. [Operator Instructions]. Our first question comes from Jim Fish with Piper Sandler. Please go ahead.
James Fish: Hi, guys. Nice looking quarter on the constant currency basis and the ARR. Gary, you just mentioned that it's taking a bit longer to close new business. I guess what are you guys seeing with the customers' desire to consolidate more onto one data management vendor? And what do you guys see at the whitespace opportunity specifically within your install base for replacing multiple solutions in kind of the customer environment, including with Metallic?
Sanjay Mirchandani: Hi, Jim. It's Sanjay. Let me take a stab at it. So one of the examples I gave was the Fortune company that took out several products over the years that they had, and replaced it with one architecture, ours, using both Metallic and software. We see this every day. Over the course of last quarter, roughly 50% of our Metallic customers also had Commvault technology. So it's both. And we see this every day. And with ransomware, our premise is less is more. The less layers of technology, different technologies that you put in, the safer you can be because you have a single pane of glass and you have a singular way of dealing with it. And that's what we're seeing. We're seeing our technology being pulled in to unify, to bring one layer of visibility and protection into customers. We see this every day. That's how we win.
Gary Merrill: Hi, Jim. It's Gary. Good to hear from you. A couple of quantifications. From a land perspective, we saw one of our best land, so new customer on the software side in over six quarters, so really strong results in the land in the Americas driven by some of that consolidation. We've had a really strong focus on landing net new customers. And those efforts in that pipeline is building on the larger deals.
Sanjay Mirchandani: Yes, so that also helps. The deals are getting larger and as a result, that's because we're replatforming across multiple products.
James Fish: That's helpful guys. And what are you guys seeing with customers' willingness to sign multiyear durations? I understand the typical duration on the term subscription side is roughly three years. But really what I'm asking is if you're seeing any desire to move that three years down, actually closer to two, just given the macro environment? And just also confirming here that really on a billings basis here, it was primarily just FX issues on the deferred revenue, because if I take off the cash flow statement for a change in deferred revenue, you actually end up with a billings beat. Was there any pressure on the duration side of things though? Thanks, guys.
Gary Merrill: Jim, it's Gary. I'll handle both of those. From a term perspective on subscription, we're holding pretty steady. We're seeing a little bit term pressure, but we're managing through it. And the range of our terms still is consistent with the growth metrics and the term metrics that you mentioned. Your second point was on, correct me if I'm wrong, deferred revenue. So deferred revenue was actually up 18% constant currency. So if you look at deferred revenue, I think deferred revenue generally on a constant currency basis will align with ARR growth. And both of them on a constant currency basis was 18% and strongly driven by Metallic on both sides.
James Fish: Thanks, guys.
Operator: Thank you. One moment for our next question. Our next question comes from Eric Martinuzzi from Lake Street Capital Markets. Please go ahead.
Eric Martinuzzi: [Technical Difficulty]
Sanjay Mirchandani: Andrea, we're having audio problems with Eric's question. Eric, can you redial in? We're unable to understand the question from the audio. 
Operator: Sure. One moment please. [Operator Instructions]. 
Sanjay Mirchandani: Andrea, I'm not seeing any more questions. We'll give Eric one more minute. And if not, we will end the call and deal with his questions offline.
Operator: We have Eric Martinuzzi calling right back in. One moment please. 
Sanjay Mirchandani: Perfect. Thank you. 
Operator: Eric, your line is open. Please go ahead.
Eric Martinuzzi: Okay. Is the audio any better?
Operator: Much better, thank you.
Eric Martinuzzi: Okay. My question was regarding the macro color that you gave now versus kind of the initial slowdown that you saw the end of June. You got four months since then. Just wondering if you could juxtapose the two, or if there's been no change?
Sanjay Mirchandani: Hi, Eric. It's Sanjay. I'll start and I'm sure Gary will have a point of view. We've been super focused on what we control, which is execution. And really looking at everything we're doing, we learned a lot from the supply chain earlier last year. And so to apply those best practices to how we're looking at the pipeline, close rates, things like that. So there's a lot of inspection and we're focused on getting that right as part of our execution. I will say to you that between the two quarters, we thought we probably saw deals that's taking longer to close. Okay. Just across the board, a lot more scrutiny, a lot more conversation, challenging some of our data science models on closed rates and predictability. But we were focused on execution and came through. I will say it got harder over the course of the quarter. Europe in particular got harder over the course of the quarter. The Americans had a strong quarter, but again scrutiny was across the board. So I'll say that was a common theme. Gary, anything you want to add to that?
Gary Merrill: Yes. And as we look at even, Eric, into fiscal Q3, we're expecting some of that to continue. And that's somewhat reflected into our outlook for Q3. Fiscal Q3 is our strongest seasonal quarter, generally for Commvault, tied to year-end budget timing. But we're factoring some of those macro headwinds we see on timing. The demand is there. It's just really on time to close factored into our outlook.
Sanjay Mirchandani: Yes, the pipeline is good. It's just the timing.
Eric Martinuzzi: Yes. And that is you're anticipating continued -- better in the U.S. is anticipated to continue and worse in EMEA is expected to continue?
Gary Merrill: I think, Eric, we're not expecting necessarily worse in EMEA. I think continued as what we've seen, and on a relative basis relatively stronger in the U.S.
Eric Martinuzzi: Okay. And then I saw the -- you kind of stepped up the repurchase program here in Q2. Was that simply tied to the better cash flow in Q2, or was that just opportunistic on the price point?
Gary Merrill: Yes, Eric, to highlight on the cash flow, we had very strong free cash flows during the quarter. And even for the first half of the year, our free cash flows are at double digits, I think approximately 15%, and our commitment to return at least 75% of free cash flows back to our shareholders. And at the first half mark, we're at 83%. So we've aligned our Q2 repurchases to make sure we stay ahead of our objectives.
Eric Martinuzzi: Okay. And then final question for me comes on the services gross margin. I did notice they're relatively flat sequentially, but a slight downtick on the gross margin. What's behind that?
Gary Merrill: Yes, Eric, when you think about services gross margin, there's two pieces in that gross margin. The first piece is our customer support revenue, okay, the customer support revenue. And the biggest driver on the headwind there is actually FX. If you look at our press release, we disclosed the customer support revenue and it was down approximately 12% year-over-year. But FX adjusted is only down about 5%. So currency being the biggest on the services and customer support, that's being really fully offset by the other services, which includes our Metallic revenue. So that's where you'll see major growth year-over-year and quarter-over-quarter as we start to accelerate Metallic.
Eric Martinuzzi: Okay, understand. Thanks for taking my questions.
Operator: Thank you. One moment for our next question. Our next question comes from Jim Fish with Piper Sandler. Please go ahead.
James Fish: Hi, guys. Couldn't resist asking another just quickly. With over 2,500 customers now in Metallic, my math would kind of imply we're actually seeing a deal size uplift for Metallic versus the last few quarters. I guess, trying to understand what's causing that specifically?
Gary Merrill: Hi, Jim. It's Gary. I wouldn't say a deal uplift. I think it depends on the segment. Where we're seeing really good strength and focusing on is building a velocity business, right? So there'll be some timing quarter-to-quarter on maybe some of the larger Metallic deals, but our real focus is driving a velocity and really getting that tailwind going tied to both renewal cycle and landing new customers. So at times, we're a little less focused on the actually ASP overall, but making sure we're building that repeatable expansion and driving kind of best in class net dollar retention. One of the things, Jim, we're most proud of is this quarter alone on a units basis, 70% of the new Metallic customers were new to Commvault. So which doesn't show up necessarily in the financial statements, this quarter will show up over time as we onboard and expand and really drive that growth.
James Fish: Thanks, Gary.
Operator: Thank you. One moment for our next question. Our next question comes from Aaron Rakers with Wells Fargo. Please go ahead.
Aaron Rakers: Yes, thanks for taking the questions. Congrats on the solid execution. I apologize if I missed this, but the 2,500 customers on Metallic, can you just help us appreciate what that was maybe exiting the last fiscal year, just to kind of think about the trajectory of that? And I think in addition, I'm just curious like as you compete with Metallic in the market, who do you see?
Gary Merrill: It's Gary. I'll start with the first question. And maybe Sanjay, you can talk a bit about the competitive side from the standpoint. Yes, as we mentioned, at this point, we're well over 2,500. Exiting the fiscal year, we were well less than 2,000. To kind of give you a benchmark at the clip, we're kind of growing at kind of broad strokes.
Sanjay Mirchandani: Yes, that's a big part. Aaron, it's Sanjay. Coming back to how we win, it's our ability to bring a common platform, a unified platform with software and SaaS that allows us to win every time. And when you look at just small point SaaS players, they can't do the enterprise workload. They can't do the left or right on ransomware. And if you look at the traditional software players, they don't extend -- their architecture is to extend into the cloud, into SaaS leave much to be desired for customers. That's why we've been winning. And this has been our strategy now for two years, we've said. It's bringing the two together that's going to allow customers to make natural choices on their journey to the cloud, not unnatural choices. So in and of itself, Metallic is an incredibly powerful next generation SaaS offering, combined with software architecture, it's pretty unbeatable.
Gary Merrill: And I think if you think about the financial implication, so about half of them are Telus customers today also have Commvault software. So driving that software growth today through that install base, while building this ARR now 75 million and growing is securing our visibility on future revenue growth.
Sanjay Mirchandani: When I talk to CIOs, when I talk to CEOs, and they say, well, should we go SaaS or should we go software? And I go, that's the most unnatural choice for you to make. You need both. And depending where you are in your journey, you need both. And any provider that makes you choose unnaturally isn't doing you much of a service. So we go in with an architecture and customers can start with software, or start with SaaS, change back and forth, move workloads back and forth, change their minds, and our software and our SaaS offering allows them to do that transparently. And that's why we win. That's why we win every time.
Aaron Rakers: Yes, that's very helpful. And that 50% of Metallic customers having an other Commvault product, where do you think that you can ultimately drive that to? Do you think that 75% of those customers ultimately over time purchase Commvault products? Do you think it stays at 50%? Just curious to how you think about that monetization kind of flywheel of expanding your Metallic customer base?
Sanjay Mirchandani: Honestly, I expect every customer to over time need both, okay. It's super -- if you're on a journey. I was a CIO. On a journey -- when you're on a journey that's multiyear, whether it's being accelerated or not because of the pandemic or supply chain or anything else. If you're on that journey, you need the optionality. And what we give our customers is that optionality. So there's no reason to believe that our customer base, both the more traditional software customer base and the SaaS base don't be both, okay. Now if 70% of our customers the last quarter for Metallic were new to the company, every one of them becomes a potential to pull software, okay. So that's our playbook. And that's how we go to market.
Aaron Rakers: Yes, that's helpful. And then a final question and I'll leave the floor is on the partnership ecosystem. Any kind of updates, if there's been any changes that you're excited about on the partner side, if it's Microsoft or Azure, just curious of how that develops?
Sanjay Mirchandani: Aaron, it's been a huge focus area for us over the past six months. So starting with, we brought in a new -- a very seasoned industry leader, Alan Atkinson, into the team. And he's singularly focused on really building our next generation ecosystem. We've strengthened our relationships with the cloud providers, in particular Microsoft and Oracle. We had very strong showing at their customer events recently, very strong showing. I mean, it was the first trade show I've been at in person, the Oracle one, since the pandemic and our booth was overrun, overrun with folks who wanted to know more about how we're doing -- how we work with OCI, with Oracle workloads, ransomware with Oracle. These are all relevant things. And our partner ecosystem, I would say to you, we are more focused today on our partner ecosystem than we probably ever been as a company. Our success with Metallic is and will continue to be largely with partners. And just to give you one example, and to me that's a very important one. Our Connections event that I shamelessly plugged in my close during the prepared comments that starts tomorrow is we have incredible sponsorship from our partner community, okay, incredible sponsorship. So that's testimony to the strength of the relationships. We are very committed. We've never been more committed to partnerships than we are today.
Aaron Rakers: Yes, very good. Thanks, guys. 
Operator: Thank you. One moment for our next question. Our next question comes from Thomas Blakey of KeyBanc Capital Markets. Please go ahead.
Thomas Blakey: Hi, guys. Thanks for taking the questions. I have a few. I believe, Gary, you mentioned that the Metallic gross margin headwinds should be abating. Solid ARR, great numbers here. I was just wondering if you can maybe just comment from an updated perspective on Metallic gross margin. I have a couple of follow ups after that.
Gary Merrill: Hi, Tom. It's good to hear from you. So we're making great progress on Metallic gross margins. I'm really pleased that our gross margin for Metallic is improving every quarter, quarter-over-quarter. So we're on the trajectory that we need to be at. We're probably still another, as we said before, one to two years out from testing SaaS margins, but we're on our path and we're making the progress we need to make just to stay on track. So from a consolidated gross margin, the comments I think I made last quarter is I thought we were at the low point for the year on consolidated gross margins. And that continued to hold. Even for the guidance I give for fiscal Q3, I'm expecting some modest gross margin improvement on the consolidated standpoint. And I expect that to continue through fiscal Q4 as well.
Thomas Blakey: Very clear, Gary, and solid progress on Metallic, if not ahead of expectations here. On the maintenance ARR, it looks like maybe exiting last year like a negative teens number. It looks like it might have accelerated to the negative 20% kind of levels, if I'm doing my math correctly with your disclosures on Metallic and subscription in Metallic ARR. Just again looking for kind of a bottom there, any updates you can kind of talk about there on the maintenance subscription trend transition would be helpful?
Gary Merrill: Absolutely. It's all FX. So let me give you a little -- quantify it for you. If you just look at our maintenance revenue for fiscal Q2, which is contained in the tables to our earnings release. On an actual basis, we're down 11% year-over-year. FX adjusted, we're down 5%. So it is 5% down. For the last two quarters, it's also been roughly 5%. So if you're thinking about what you should expect to see from a go-forward perspective, we're in that low single digits decline on maintenance revenue, which is reflective of some of the strategic choices we're making of converting our customers into our new modern subscription offerings.
Thomas Blakey: Very helpful and clear, as usual, Gary. And then my last question, and thank you for taking all the questions, is on large deals, continued success there, understanding the macro headwinds that might be creeping up here. Is the large deal kind of metrics you shared with us actually maybe being capped by Metallic? It's interesting that you say half the Metallic customers are also taking Commvault software. As I understand it, those are like relatively smaller deals, the Metallic deals. Maybe I'm wrong in that characterization. But maybe the large deals are actually larger. That's my final question. Thanks, guys.
Sanjay Mirchandani: Let me just give you the more business point of view on it. Tom, the way the workloads work right now for us between software and Metallic, they're actually very complementary. In fact, part of our ransomware protection, we call it Metallic recovery reserve, is delivered through Metallic but from our software. So you can invoke it through the software, but it gets delivered -- that immutable copy gets delivered in the cloud through Metallic. So we're intrinsically tying these as complementary capabilities. And so in most cases, customers will look at an on-premise solution and then say, we'd like the ransomware protection. At that point, it kicks into a Metallic delivery and sometimes 30% plus of our customers have more than one Metallic offering. So those may start with ransomware protection and then add on Office 365 or virtual machines or something else. So it works -- thus far it works really in tandem and they complement each other, if that makes sense.
Thomas Blakey: No, it is helpful. [Technical Difficulty] driving the deal size up.
Sanjay Mirchandani: It actually does. They complement each other, obviously not to the same level of software but more and more we see attach. To me that's the most important motion that for the future is seeing customers naturally attach both things depending on workload.
Thomas Blakey: Excellent. Very helpful, guys. Thank you.
Operator: Thank you.
Sanjay Mirchandani: I'm not seeing any more hands in the queue. I think we can end the call please.
Operator: Thank you for your participation in today's conference. This concludes the program. You may now disconnect.